Rolf Woller: Hello, and warm welcome to all which are participating in today’s Investor and Analyst conference call of Volkswagen AG. Fully granted that, our thoughts are currently with all the people suffering in the Ukraine from this war.  My name is Rolf Woller, and I'm heading the Treasury and Investor Relations teams at Group Volkswagen. Together with me in Wolfsburg is our CEO, Herbert Diess; and our CFO, Arno Antlitz. We published today our annual report, the press release and the related material. You will find them as well as all relevant documents concerning the Annual Shareholder Meeting on the IR website. The Annual Shareholder Meeting is scheduled for May 12 and will be held in virtual format. We will start with an introduction by Herbert, which is followed by a presentation held by Arno, who will provide you with details on the financial results 2021 and on our outlook for 2022. Afterwards, we will host a question-and-answer session, which is moderated by myself. [Operator Instructions] Before I hand over to Herbert, let me quickly draw your attention to the disclaimer on Page 2. Please read it carefully because I won't do it. And with that, I hand over to Herbert.
Herbert Diess: Dear, ladies and gentlemen, welcome to the Annual Earnings Conference of the Volkswagen Group. On Friday, we released our '21 earnings figures, which we will discuss with you today. But before that, let me briefly address the situation in the Ukraine. Our thoughts are with the people suffering and fleeing from the violence. Volkswagen is stepping up to help where we can. Up until now, our employees have donated over €1 million to the UN Refugee Aid. In the Management Board, we just decided that each of us will donate another €50,000 to various aid organizations covering the range of our businesses across the group. SKODA and Volkswagen Financial Services have provided vehicles to aid organizations in the Czech Republic and in Poland. MAN helped with trucks and buses. In many of our sites -- at many of our sites, employees are collecting donations in kind, such as medicines and are bringing them to the Ukrainian border. Colleagues who have left the country are receiving support from SKODA with visa procedures, accommodation and language classes. Already now, we are seeing the effects of the war on the global economy, on raw materials and on our supply chains. Volkswagen had to stop production in Russia and exports to Russia for the time being. We are continuing to pay our employees in Russia 80% of their salaries. We're also continuing to supply our Russian customers with spare parts. And we're supporting our suppliers of wiring harnesses in the Ukraine, which are keeping up operations to the extent they can. A task force under the leadership of Murat Aksel and Gunnar Kilian is working hard to mitigate the current situation. We are building up additional capacities for wiring harnesses for Europe and are shifting car production to regions such as China and the Americas. We cannot assess the full impact of the war in Ukraine yet. But seeing the human tragedy, it's devastating. If the war drags on, it could seriously threaten a world order that has brought freedom and prosperity to many parts of the world over the past decades. Europe would suffer the most in such a scenario. That's why we have called for European and global politics to pull their full weight so that the parties will come to a solution and stop the war as soon as possible. Let me come to 2021. The past year was still impacted by the COVID pandemic and global semiconductor shortage. As a result, vehicle sales across the group declined 6.3%. Yet we were able to increase revenues 12% to €250 billion as we allocated more chips to higher-margin models and reduced sales incentives. Our strict cost discipline and efficiency measures helped us to double the operating profit before special items to €20 billion. And with €8.6 billion, we generated a net cash flow that was 35% higher than a year before. All in all, we demonstrated that our business is robust and that we are better able to cope with adversities than in the past. I would like to thank our global teams, our task force members and our health care managers across the world for helping to make this happen. Despite the economic challenges, we reached some important strategic milestones last year. For years, we had lost money in our key market, U.S. In fact, when I joined the company in 2015, this was one of the most pressing issues Volkswagen was facing. In '21, the Volkswagen brand was profitable again in the U.S. as well as Mexico and in Canada. We now have the right products with our 5 SUVs from the Atlas family, the Taos, Tiguan and ID.4. The 5 SUV models account for about 70% of U.S. sales. The ID. Buzz will be the emotional driver for our rebirth in the U.S. I just visited the South by Southwest in Austin, where we presented the Buzz to the public. And the reactions are just overwhelming. Passengers buy spontaneously, take out their smartphones and take pictures as soon as they see the car. Texas Governor Greg Abbot didn't want to miss the opportunity to get into the car and check out the interiors. With the integration of Navistar, we gained a foothold in the North American truck market and turned our TRATON Truck and Bus business, now under the leadership of Christian Levin, into a true global champion. '21 was also the year of the turnaround for Volkswagen in South America. Six years ago, we took the right decisions, changed and modernized our product portfolio, for example, with the Taos and Nivus. Now we are reaping the rewards. We achieved profitability and a positive net cash flow. In Europe, we were first movers in our industry for electrification six years ago. And our strategy was the right one. In '21, we were a market leader for electric cars in Europe. Every first EV is a Volkswagen Group car. In China, the most important growth market worldwide, we are very profitable. This 16% market share, we have almost twice the size of the second-biggest competitor despite the fact that China was hit over-proportionately by the semiconductor squeeze. Fabia is the most successful brand with 11% market share. Porsche, Bentley and Lamborghini achieved sales records. Our premium brand group performed especially well in '21. Audi, Bentley, Lamborghini and Ducati posted outstanding results. In the volume group, the Volkswagen brand now offers EV alternatives for all ICE models, a broader product range than any other competitor. The ID.3 adds the electric alternative to the goals, the ID.4 matching the Tiguan. And with the ID. Buzz, we now also have an electric alternative for the T7. From '23, the Aero B will become the electric alternative for the Passat. The ID.5 and the ID.6 are completing the ID family. All EVs are coming on the dedicated MEB platform, allowing for more range in room in the car and a more sophisticated driver assistance and in-car infotainment solutions. The next major milestone will be the project Trinity, an EV sedan with futuristic design and the latest technology with level four capabilities. We have decided to build a new highly productive factory for €2 billion next to the existing site in Wolfsburg, a key move to be able to compete with the new Tesla factory in Brandenburg. We will also be building a new state-of-the-art R&D center, where we will develop the electric platform for all of our future EV models. These investments will benefit not only Wolfsburg, but the whole region and create thousands of new future-proof jobs. We are counting on regional and state politicians for support to meet our time lines and remain competitive. As for the other brands in the volume group, SKODA presented the fourth generation of the Fabia and started a new market push in India with the Kushaq an SUV tailored to the taste of our Indian customers. The Kushaq is just 1 of 4 new crop group products in India. At SEAT CUPRA, both the demand for CUPRA and the demand for battery electric vehicles helped the brand to raise sales by 10% last year. CUPRA also launched its first fully electric car, the Born. Now the Management Board will be focused on further profitable growth. Porsche last year expanded its fully electric Taycan model range with the Cross Turismo. Porsche’s electrification strategy has fully been paying off with the Taycan already outselling the 911. I'm sure that the potential IPO will bring a great motivational boost to the team and raise the company's ambition level even further. Ladies and gentlemen, we are well underway with the electrification of our portfolio. In Europe, with 25% market share in EVs, we are a clear market leader, exceeding our ICE market share already. At our plant in Zwickau, we are now producing 6 EV models from 3 brands. We will add additional EV capacity with the conversion of our plants in Hanover and Emden. And we will start producing the ID.3 in Wolfsburg. In the U.S., we ranked #2 with an 8% EV market share, which is double our ICE market share. The ID.4 is the fastest selling vehicle in the lineup, with nearly 17,000 units sold and an order bank of over 21,000 reservations. More than 2/3 of all ID.4 buyers are new to the Volkswagen brand. And I'm looking forward to the start of the local production of the ID.4 in Chattanooga in about 4 months' time. With 8 models of Volkswagen, Audi and Porsche, we're rolling out one of the broadest e-car portfolios in the U.S. in '22. In China, we executed our best strategy according to plan with a monthly run rate of roughly 15,000 per month end of last year, matching the level of our Chinese competitors. With almost 93,000 vehicles, we delivered more than 4x as many EVs in '21. Our broad EV product range now spans 5 ID models, the Porsche Taycan and the Audi Q4 e-tron. We are confident that we will be meeting this year's goal to at least, again, double our EV sales. Beyond our own portfolio, we agreed with Ford an increase of MEB components for their Cologne plant. They will double their MEB volume to 1.2 million units over 6 years and are also planning a second EV model on the platform. We have made some major strides in turning the group from a classical car manufacturer into a software-driven technology company last year. We started providing our customers with the latest software updates over the air being first in the volume segment. With the updated software, those cars, just like the new ID. Buzz now has improved features like natural language recognition and automatic lane changing. Continuous updates of the mapping data allow us to keep setting new standards in driving assistance performance. Integrating HELLA Aglaia wireless car and Diconium helped us to upgrade our software capabilities. And we acquired intellectual property rights for Level 3 automated driver that we are further developing together with Porsche. More than 1,000 software specialists joined CARIAD since its start, bringing the total to more than 5,000 people. We also strengthened the team around Dirk Hilgenberg with Lynn Longo, as CTO; and Thomas Sedran as the new CFO for CARIAD. One year ago on the day, Thomas Schmall and his team presented a battery and energy road map for the group. Among others, we announced that we will build 6 battery factories across Europe. Last year, we invested another €620 million in our battery venture, Northvolt, preserving our 20% stake. Northvolt's new factory in Sweden is on track to start production next year. In Salzgitter, we will break ground for the new cell production this summer. Salzgitter will become a blueprint for the production of our own standard cell. We will bundle all battery activities covering the entire supply chain at this site. In Spain, we are in the final discussions about the location for our third battery factory. We have started the scouting process for the fourth location in Eastern Europe already. We also established 2 charging joint ventures with Enel and BP and together are working on the expansion of our fast charging network in Europe. In China, we are continuously expanding the CAMs fast charging network. And in the U.S., we have decided an additional boost plan to reach 10,000 fast charging points by 2025. We are convinced that mobility services will be a fast-growing business area and future profit pool in the NEW AUTO world, potentially generating double-digit margins. We are building up our own mobility platform to provide a range of services accessible through one app, from ride hailing, to sharing, to renting and subscription. Last year, we submitted a takeover bid for Europcar, which with its modern fleet management and broad network of stations will form the basis for our mobility platform. We expect to complete the transaction in the second quarter. As the new CEO of Volkswagen Financial Services, Christian Dahlheim will not only lead our very profitable Financial Services business but also run the mobility platform to leverage the synergies of the 2 businesses.  Dear ladies and gentlemen, under normal circumstances, we would have any reason to look optimistically into 2022. We are starting from strong financial results in '21. The pandemic is receding, and semiconductor supplies are expected to improve steadily throughout the year. But the war in Ukraine has put our existing outlook into question. What I can say today is that we have increased our resilience over the past 2 years. We have raised efficiency and started implementing a strategy that will allow us to emerge even stronger from the transition to NEW AUTO.  We have one of the best and most experienced teams in the industry. In addition to our existing Board members, Ralph Branstetter has joined the team and as Board member in charge of China, he will lead our business in the fastest-growing market into the future. Thomas Schafer will take over from Ralph Wolfsburg and take the volume group and the Volkswagen brand to the next level. Hauke Stars is committed to building the data and technology infrastructure for NEW AUTO. Hildegard Wortmann will strengthen our customer focus. And with his long track record and experience, Manfred Doss will continue to navigate us through the legal environment as we are transitioning to NEW AUTO. Please rest assured that myself and the entire management team are fully committed to leading Volkswagen through this crisis, too. We will take the appropriate countermeasures, and we will remain focused on the implementation of our strategy.  And with that, let me hand over to our CFO, Arno Antlitz. Arno, please?
Arno Antlitz: Yes. Thank you, Herbert, and also a warm welcome from my side as well. Ladies and gentlemen, dear colleagues, we've achieved solid results in 2021, which we could actually be pleased about, but our thoughts and visions are currently with the people in the Ukraine. The war in the Ukraine is at the center stage of our thinking and acting. I would like to give you a brief overview of what we've achieved in the last year. The 2021 figures show that we increased the robustness of our business and that we are better able to deal with restrictions than in the past. Despite the semiconductor shortage, we delivered a solid operating profit of €20 billion and a strong cash flow. We benefited from favorable mix and pricing environment. We made further progress in our overhead cost initiative and demonstrated CapEx discipline. We made no compromise when it comes to future investments. In 2021, we made significant steps in our transformation towards electric and the ramp up of our software capabilities. BEV vehicles margins are progressing well in Europe. And to strengthen our BEV ramp-up, we continued on our investment plan alongside the battery value chain. 2021 has been the second year in a row where external factors negatively impacted our product availability and sales. Despite these headwinds, we were able to grow our revenues to €250 billion. The main drivers were favorable pricing environment and product mix, the first-time consolidation of Navistar and the strong Financial Services business. Thanks to the effort of our whole team, we achieved €20 billion operating profit and operating margin before special items of 8%. Legal costs related to the diesel issue amounted to €0.8 billion and impacted the operating profit negatively. The reported operating profit totaled to €19.3 billion. For the sake of completeness, but not shown on the chart, profit before tax improved to €20.1 billion, and profit after tax was at €15.4 billion. Let's turn to cash flow and net liquidity of the Automotive business. CapEx discipline, a firm grip on working capital and the contribution from our operative business drove automotive clean net cash flow to €15.5 billion. This is a €5.5 billion increase versus prior year. The reported net cash flow, including M&A and diesel payments, totaled €8.6 billion. One important milestone in our M&A activities was the acquisition of Navistar. This makes TRATON our global player with a leading market position in Europe, North and South America. In addition, we spent around €1.7 billion to strengthen our battery capabilities. We took a stake in Goshen and participated in the latest capital increase of Northvolt. Despite significant investments in future value streams, our net liquidity in the Automotive business stood at year-end at €26.7 billion, almost on par with 2020. Coming to the performance of our 3 divisions. Our passenger car business delivered an operating result before special items of €13.8 billion, mainly driven by the strong performance of the premium and sports brands. Operating profit for TRATON, our commercial vehicle unit, came in at €0.1 billion. I will elaborate on this in a minute in greater detail. The Financial Services division doubled its result versus last year. It contributed exceptionally with €6.0 billion to the group result, benefiting from healthy used car demand and normalization of risk costs. Moving to the operating profit bridge of the passenger car business before special items. The strong result before special items of almost €14 billion was driven by a substantial positive price/mix effect. Exchange rates and derivatives added €2.9 billion to operating profit. As a consequence of the higher raw material prices, product cost deteriorated by €1.9 billion. Fixed costs and others at the first glance were a drag on the operating result, but let's have a closer look on the fixed costs. The fixed cost others had a negative effect of €4.3 billion versus 2020. 2020 is a difficult year to compare as the COVID pandemic drove fixed costs to unsuitable low levels. In 2021, some of the expenses normalized. Yet we managed to structurally improve our business versus 2019 levels, overhead costs were reduced by €1 billion versus 2020, including positive effects from our ongoing restructuring efforts. Turning to the trucks. Truck markets globally saw recovery in 2021. As a consequence, MAN and Scania benefited and saw sales revenues improving. Revenues were up €8 billion in total. Half of this increase relates to the first-time consolidation of Navistar. However, the operating results was impacted negatively by a couple of factors: A, the first-time consolidation of Navistar; the comprehensive restructuring program at MAN; the related expenses amount of €0.7 billion; and C, the EU antitrust proceedings related to Scania, which led to a provision of €0.5 billion. The latter 2 amounted in total to €1.2 billion extraordinary expenses in 2021. Turning the page to our Chinese joint ventures. The proportional operating profit in 2021 came in at €3.0 billion. Looking at the trend in '21, the fourth quarter showed clear signs of recovery. In Q4 '21 alone, the proportionate operating profit totaled to €1.1 billion. This leads the way to an improved expectation for 2022. We aim to rebuild our profitability. It will be challenging to achieve given the current environment. Currently, some of the plants have to halt production because of the resurgence of the COVID pandemic in China. We now turn the page and have a look at our financial results. The total financial result came in at around €850 million, down around €1.1 billion year-on-year. The lower end equity result was mainly driven by a weaker contribution from our Chinese activities. The decrease in the line other financial results was primarily driven by losses in the measurement and realization of forward purchase agreements for the new shares in QuantumScape. This alone amounted to a negative year-on-year impact of €0.7 billion. In the prior year, the measurement and realization of these forward agreements led to a noncash gain of €1.4 million -- €1.4 billion. Profit after tax came in at €15.4 billion, significantly higher compared to 2020 and also compared to 2019. The tax rate was at about 23%, slightly down from previous year, where it stood at 24%. Based on the solid net income achieved in full year 2021, the Board of Management and Supervisory Board proposed to distribute a dividend of €7.50 per ordinary share and €7.56 per preference share for full year 2021 to be paid out in 2022. In absolute terms, this totaled €3.8 billion dividend payout for full year 2021. Our virtual annual meeting -- our Virtual General Meeting, which decides on the dividend payment for full year 2021, is scheduled for May 12, 2022. The agenda and the other associated documents can be already found on our Investor Relations website. One of the core financial KPIs is return on investment. It stood at 10.4% in 2021 and therefore, significantly above the prior year level and also above our required rate of return. The main drivers of this development was a substantial improvement in our operating results. In addition, invested capital was €1.5 billion lower than in the prior year, demonstrating our working capital and CapEx discipline. Now let's come to the outlook for 2022, we are convinced to be well prepared for the future challenges in our business and the regional automotive markets. Given the challenging market conditions, we anticipate deliveries to customers of the Volkswagen Group in 2022 will be 5% to 10% up on the previous year. '22 will continue to be affected by shortfalls in supply due to the structural shortage of semiconductors. However, we expect the intensity of shortage to decrease as the year progresses. We expect sales revenue of the Volkswagen Group in 2022 to be 8% to 13% higher than the prior year figure. In terms of operating result for the group, we forecast an operating return on sales in the range of 7% to 8.5%. Reported net cash flow is expected to stay on the same level as 2021. In 2022, net liquidity in automotive division is anticipated to be up to 15% higher than the previous year. This again underlines our self-funding capabilities. Of course, you want to know what you have already backed into our guidance. The guidance is based on the assumption that price and mix will continue to support our 2020 results. It already includes a rise in raw material prices included in our product costs. We expect semiconductor supply bottlenecks to continue in 2022, but gradually improve in the second half of the year. We expect TRATON to contribute substantially to our result. We are, however, aware that the FS division results achieved in 2021 are not sustainable. We expect FS division to contribute with about €4.5 billion in 2022. Not included in our guidance, however, the resurgence of the COVID-19 pandemic situation, which negatively affects our business. The guidance presented is also subject to the further development of the crisis in the Ukraine and in particular, the impact of our supply chains and the global economy as a whole. At the time of preparing this outlook, there is a risk that the latest developments in the Russia-Ukraine conflict will have a negative impact on the Volkswagen Group's business. This may also result from bottlenecks in the supply chain. At the present time, it's not yet possible to conclusively assess the specific effects, nor is it possible at this stage to predict the sufficient certainty to what extent further escalation in the Russia-Ukraine conflict will impact on the global economy and growth in the industry in fiscal year 2022. Ladies and gentlemen, let me elaborate now on some of the achievements in 2021 from a CFO perspective. We keep momentum high. We drive the company transformation towards electrification and digitalization and aim to achieve a leading best position in 2025. Therefore, the majority of our investments is geared into future technologies. Based on these investments, we have been able to increase our BEV sales quarter-by-quarter. And we will increase our BEV sales this year as we sit on a high order bank and aim for a BEV share of 7% to 8% in 2022. We're also aware that one of the key considerations of the capital market community is how our BEV margins develop and contribute to future earnings. Our MEB models are on high demand. Pricing is strong. We have also made significant progress in 2021 on the profitability of our BEVs. Despite current headwinds in raw materials, we are optimistic to achieve the margin currently to ICE earlier than we originally thought we would. The main drivers are our new dedicated electric platform, MEB; the ramp-up of our retool plants; lastly, the MEB is open to third parties. Now before the announcement yesterday, we will gain additional economies of scale to boost the profitability of our BEVs. To finance our ambitious transformation towards electrification and digitalization, we have initiated last year our overhead cost program. We achieved our target for 2023 of 10% cut in overhead costs already to date. This important milestone contributes €4 billion versus 2019. The main structural drivers were process and progress efficiencies, synergies, canceled projects with low prospects and a cost freeze in the indirect areas. Capital deployment is another important area for us to stay focused on. Due to the significant investments in electrification and especially into software competencies, our R&D ratio for the full year 2021 came in at 7.6%, slightly higher than our target of around 7%, largely due to the fact that we sold fewer vehicles than originally targeted. Despite all our investments, such as retooling, ICE plants to BEVs, we spent in '21 around €500 million less than in 2020. Also, the CapEx ratio is with 5.1%, 1 full percentage point below the prior year. This is a true proof point for our CapEx discipline. As part of the European Green Deal, the European Union supports environmental protection, therefore, an action plan was initiated to finance sustainable growth. A core part is the EU taxonomy. As you are aware, we are committed to the Paris Climate Agreement. And we are in the midst of the ramp-up of our BEV strategy. The EU taxonomy reporting will become mandatory to report on next year. We at Volkswagen are already 1 year earlier. In 2021, 560,000 electric vehicles were sold in the European Union, thereof 367,000 BEVs and 192,000 plug-in hybrids. They account for 11% of our sales. Looking at sales revenue and the taxonomy aligned revenues accounted already for 9% of the group total. Switching to sustainable investments. The total capital expenditure for Volkswagen Group in fiscal year '21 amounted to €54 billion, thereof taxonomy-compliant capital expenditures amounted to €15 billion, which already is coming close to 30% total investment. This includes additions to capitalized development costs of €3.5 billion in additions to property, plant and equipment of €3.8 billion for all our electric passenger cars and light commercial vehicles. You may recognize that this fits nicely into our investment framework we provided during planning around 70 where BEV-related investments are planned with 1/3 of total investments over a 5-year time frame. Ladies and gentlemen, we have strong brands. At the same time, we will continue to shape our transformation with focus on technology, ramping up BEVs and developing and deploying a leading automotive software stack. We will continue to financially steer our transformation by focusing on synergies and building resilience by working hard on cost and efficiency to be less reliant on volumes and growth. Based on our robust business model, we are strongly committed to transform our company towards future revenue pools based on strong values and commitment. Over the past 2 years, we've learned to better manage the impact of crisis on our company. I'm confident that we will make the best possible use of these experiences to stay on track in these difficult times. With that, I turn back to Rolf for the moderation of the Q&A session. Thank you very much so far.
A - Rolf Woller: Thank you, Arno. Thank you, Herbert. And with that, we start the Q&A session. [Operator Instructions] And the first question comes here from Horst Schneider from Bank of America. [Operator Instructions] So Horst, please go ahead.
Horst Schneider: Horst Schneider here from Bank of America. I want to ask then two questions, please. The first one is for Herbert. I'm getting a little bit confused about that what the politicians do at the moment. So we see now a significant rise in the oil price. Now the politicians they want to subsidize basically fuel, have got the impression that basically energy security comes now ahead of climate change. So at the same time, you say that your BEV margins, they are higher than expected. So in that context, I want to get your view what you think about subsidies on EVs? Are they still necessary going forward? What would be your advice to the politicians what they should do on fuel subsidies versus EV subsidies? And the second question relates a little bit to that. And that is, when I look at your five-year plan and the CapEx ambitions that you have, this €89 billion. If we run now in a situation where the volumes increased less than expected just because overall inflation is too high and bite into disposable income, how would you react to that? Would you be prepared to cut your CapEx plan? Because ultimately, it looks to me that there is a risk that we have seen at many other auto companies in the past as well, too much CapEx later on, too much D&A too high D&A per vehicle, and that could put a company into a crisis, how do you prevent that?
Herbert Diess : First of all, the -- first of all, we don't need higher fuel prices for the success of the EVs. We -- already before the war in Ukraine, we had very good order books. We're making good progress in China, in the U.S., in Europe. And our, let's say, order books are -- for the EVs are -- and we have longer lead times for deliveries on the EVs and on the ICE businesses.  So the shift to EVs, I think, is well underway. It's according to our plan. It's what we estimated some three, four, five years ago. And I think it also will progress because in the heads of the customer, EVs are already the better option. They are cheaper to run, cheaper to drive. They probably have higher residual values as well. So I think this transition is on the way. So we don't need those high fuel prices and also not the -- the raw material impact is something which might impact us even harder. So really, to make to -- to be able to offer to our customers mobility at decent prices, this will be probably the biggest challenge and not to drive further inflation.  So this is why I wouldn't -- I'm not the one who probably should advise governments. I think we have a very balanced approach. And people probably should not overreact. But inflation is a concern. I think if the cost for housing for hitting for fuel raises, I think there's high risk for the economy that would also negatively impact our businesses finally. So I would ask for some cautiousness and -- but we don't need additional incentives to shift to EVs.  EVs, the plan to more EVs is, I think, on the road, I think also it won't -- we don't -- we will not be -- we don't have to change that plan. Now our ramp-up is basically doubling up once again this year and then achieving 20%, 25% by '25, and then 60% in Europe and 50% worldwide by 2030. The ramp-up will be constrained by the battery supply. So I think we should be in a -- we should see a balance around those figures, which we have been planning since 3 or 4 years. And we don't -- I think we have no reason to change that approach even if prices for the raw materials and batteries are increasing, but this is the same tendency on the conventional cars. So I think we should be probably -- this is probably the best guess and the most robust approach for until 2030. The question -- CapEx, I think we are in good shape because other than the new entries, we don't add capacity. We are switching capacity from ICE into battery electric vehicles. We have converted one plant so far. Other 2 in Germany are now under construction. So we shift -- with every new model we are launching, we shift from ICE into batteries. Yes, I think we have to revise our strategy after we know more about the war. Will it be -- will it dragging on in Europe? It might have really an impact on how the different world regions develop. So it might be that we have to invest more in other regions. But I think we have time to adopt.  Anyhow, we would not have increased our capacity in Europe. Now we are running very much the same capacity since years. And we don't have plans to increase capacity. Also, the new plant in Wolfsburg, which we are planning, is not additional capacity. This is substituting ICE plants. We will basically shutdown the same amount as we are adding the new capacity. Arno?
Arno Antlitz: Yes. I think it was perfectly put together already. Just in terms of CapEx discipline, we showed -- from my point of view, we showed CapEx discipline in 2021. We invested €10 billion, €10.5 billion, which leads to a 5% CapEx ratio. And we come from €14 billion in 2019. And giving the -- on the backdrop of all the investments we do in battery plants worldwide, so this is basically, I would say, a very good focus. From today's perspective, we will keep on revising our structural investment, non-product investment. But for the time being, as Herbert said, we keep our major transformation projects, perhaps with a little bit more focus in regional areas. But you can rest assured that we keep our CapEx discipline.
Rolf Woller: Very good. Thank you, Arno. Thank you, Herbert. The next question is from Tim. Tim Rokossa from Deutsche Bank. Tim, go ahead.
Tim Rokossa: It's Tim from Deutsche Bank. I also have 2 questions, please. We have spoken about the Porsche IPO numerous times now. But we can all read the statement of the framework agreement, but maybe for those investors that are not too familiar with the internal decision-making process that VW-ian asked me what they know should think about this. With what you have decided, how committed are you to doing this IPO in Q4? And have you defined a market cap that you think you need to be able to achieve to actually go ahead, €60 billion, €80 billion, €100 billion? I'm sure we have a number in mind. And then secondly, in the past, we often held guidance was quite under benign rather a floor than initial target. So it's great to see that you're now targeting something really solid. Now obviously, the market worries about supply chain issues from the Russian Ukraine war. But they also worry about demand. You obviously have a lot of customer data also on a weekly basis. Do you see any impact on demand from the high inflation number and the Russian-Ukraine situation at the moment? And do you expect to see any impact on demand going forward?
Herbert Diess : IPO probably, it's better you answer. The demand, we, as you know, we have very good order books in all major regions. We have been undersupplied, and we have a very attractive product range. So in the top premium segment, basically Lamborghini, Bentley, we are sold-out for this year. I don't expect this is going to change through the crisis. The order intake in recent weeks was okay still. And that is why we are still positive about increasing our sales volume. What's for sure is it all depends on the further ongoing of the war. Now we are exposed because of our supply relations with Ukraine. So far, the plants there, which are supplying us, are kind of limping. Now, we have 30%, 40%, 50% capacity. And depending on what's going to happen mostly in West Ukraine, that might have an effect. But we could probably digest a few weeks' time ongoing, but then we would have to revise our outlook. We are trying to balance that. We're shifting capacity, semiconductor capacity to the other regions to the U.S., to China to Latin America. So we have kind of room for manoeuvring, but it's not unlimited. But so far, I think we can stick to our forecast and outlook. Porsche IPO, I would ask Arno.
Arno Antlitz: Yes. I think it's clear that we must formally examine feasibility first. And it's too early to give you an estimate on what we expect. Hope you have understanding for that. We will communicate that later throughout the year. As you're aware, the time frame would be like late in Q4, October, November this year. So it's too early to give a figure on that currently.
Rolf Woller: Thank you, Tim, for that very good question. Patrick Hummel from UBS is the next one.
Patrick Hummel: Yes. It's Patrick from UBS. We could probably debate at length what the top line end of this year will be. So I'll park that discussion and focus on 2 EV related querstions. The first one, specifically as far as China is concerned, you are guiding for a better proportionate operating result from China in 2022. But at the same time, your share in the only pocket of growth in the market, which is the NEV segment, is still a little bit underwhelming with only around 3% to 4%.  Taking what you just said, Herbert, to double it in 2022 is still, I guess, far from enough to defend the overall market share you're having in the Chinese market that has been north of 15% throughout. And the ICE segment is not growing. So I guess also from a pricing and profitability standpoint, this is not going to be easy territory for you. So I'm just wondering if you can help to square what you guide for your EV outlook in China with the profitability guidance you're giving, what actually should be driving earnings upwards in China this year? And the second question, simply on the global EV forecast or guidance you give, the 7% to 8% EV share, BEV share this year. You achieved 8.3% already in Q4. So it's a little bit unimpressive as well here that you don't factor in any additional EV growth. It feels a little bit that despite having the product, your supply constraint, and it's very difficult from the outside to say what is the next bottleneck that you might be facing, but what are you structurally doing to address these constraints that you obviously have that others seem to be handling a little bit better, especially looking at Tesla in terms of the absolute volume growth they deliver? So how can you get better in your EV curve? The demand is obviously not the issue.
Herbert Diess : You're right, the demand is not the issue. But we think we are making really good progress. And you have to see that this is not a monthly game or even a yearly game. Now this transition into EVs will take probably 2 product life cycles, and we are just starting. So far, it's going really according to plan for us. Now, we are planning for 20%, 25% by '25. It seems to be achievable from our position. We are planning for 50% by ‘30 worldwide. It seems to be achievable. But it will already be tough because to establish the supply chain for EVs is the most -- will be bottleneck not only for us but also for all our competitors because we need the capacities for the raw materials for lithium, for nickel, at the beginning, still for cobalt, and that has to be established. So there's a big efforts. We have internal efforts to make sure that we get the contracts for the raw materials, that we get the cathode material, that we get up our plants up and running, 6 plants we need until ‘30. And you have to imagine, we're having 20% market share in Europe. So those 6 plants for Europe make 30 plants, which have to be built up in Europe, each €2 billion. They have to be financed. We need the machinery for that. So this will be the constraint of the ramp-up.  We think that in this race towards more capacity, we're well set up. We started early with our planning. We have our own sales formats. So we have -- we have until '25, we have a supply our supply is safe because of our contracts and the plants, which have come to the market. So we think we are really in good shape. And also in China, we are in good shape because we have made all the preparations. The model range is there. We have the battery supplies. We had a bit of a slow start, yes, accepted. But towards the end of last year, we already had a run rate of 15,000, which gives us, I don't know, 160,000, 170,000 per year, which is what we want to exceed this year. Now at least, we want to double up, and that should happen.  Our product range is becoming really more competitive throughout the year. We are adding model Audi Q4 e0tron is coming, should work well for us. Also, software updates are coming. We're already happy with what was the feedback for the ID.Buzz, which is much enhanced when it comes to natural language recognition to also our driver assistance function. So it's nice with the Chinese solutions coming in the first quarter. So the Chinese market, we are reshaping our retail structure. So I'm actually quite confident that also China on the EV segment will work well.  And we are, by the way, we are -- Tesla, yes, is making good progress. But our competitors from the ICE world, they are far behind us. Now it will take years for some of our most relevant competitors to become, let's say, so relevant as we are in China, U.S. And you should take into consideration that we are really working and having good economies of scale already. The ID.4 now being very successful in the U.S., is launched in our North joint venture and the South joint venture. It's in Europe now getting into the second plant and its in high demand in all regions. So we feel very, very confident about our EV strategy. And -- but Patrick, this is a game over several years and not a race of 2 months' results. Results in China should become better. And we had -- I would say, first 2 months have been good, because we supplied. And our market share losses in China were only constrained by semiconductor supplies, and more in the South and in the North. But this was the constraint. I think even with these constraints, they performed quite reasonably well. But now with better supply in semiconductors, we have a very good product lineup in the ICE world. And I'm sure that we are regaining market share. And the first 2 months have been really good. So in China, we are strong.  And you should also take into consideration our strategic decisions for China will pay off only in a few years' time. But now we have majority shareholding in our JAC joint venture in South China. We have founded -- or we have launched to found now the Audi PPE company. We are ramping up our local R&D capabilities fast. So we are going to defend and be very, very strong in China in the future as well. And we will even use China as a major hub for electrification because, for sure, we will have the highest EV volumes in China.
Rolf Woller: Thanks, Patrick. And moving on to the next question, which comes from Jose Asumendi from JPMorgan.
José Asumendi: It's Jose from JPMorgan. A couple of questions, please. Can you comment a bit around the earnings momentum that you're seeing for the group in the first quarter maybe versus Q4? It's sort of difficult to understand as all of this raw material inflation and volatility in schedules, if it's really impacting the earnings momentum of Volkswagen in Q1 or not? And the second question, please, can you comment if Bugatti and Rimac are sitting within the Porsche AG IPO? And also, however, if you -- in the lines of providing this flexibility and time of reaction, and I think probably a much legal structure for Porsche, would you consider also this initiative for Bentley and Lamborghini?
Arno Antlitz: Yes. I'll take the first question, a little bit of the momentum and drivers of the first quarter. Of course, pricing will be strong. Margin will be strong. Residual values will be strong. The market will be limited by, first, semiconductor and as we discussed in depth today, also by the limited supply of harness due to the Ukraine conflict. We see some headwinds from raw materials. On the other hand, you saw strong CapEx discipline from us, fixed cost discipline, which, all in all, should give a reasonable first quarter.  What we don't have fully in our hand and what can’t fully judge, there might be a valuation effect also on the on the commodity hedging, which goes through our P&L, which is not sitting on our balance sheet. So this might, from today's perspective, also be a positive effect. So all in all, despite the crisis situation and the war situation in Ukraine, we should expect a reasonable first quarter. That doesn't mean that we couldn't be much more affected in the second quarter and throughout the year depending on the Ukraine crisis, how long it takes, but first quarter should be quite reasonable.
Herbert Diess : Second part of the question was Rimac with Porsche. I think we made a good move integrating Rimac into Porsche. Porsche can make much better use -- they have much more synergies when it comes usage of carbon chassis and high-performance engines. So I think there's a good synergy. And I think Rimac is doing a great job in working on the next generation of Bugatti.  So this, for sure, will create value. Are we considering any other IPO? Not for the moment. We are really focusing on the Porsche IPO, which is a big endeavor for us. So it's complicated because of our shareholder structure. But we are committed and we are really confident that this can create value and also, let's say, free Porsche even more from constraints they're having within the group and probably motivate the Porsche team even further. So I think that will be a very important step. And I'm very happy that we reached this agreement. Regarding Lambo and Bentley, I think also we made good moves. They are in good hands now with Audi. Audi is leveraging the synergies much better than we could on group level because there are not too many synergies between volume and premium. And Audi can now leverage all the premium synergies between Lambo, Bentley and their aspirations. So I think they are in good hands. We don't have any considerations currently to IPO, the premium group or part of it.
Rolf Woller: Thank you. And we are coming now to the -- thanks, Jose. We are coming now to the last question as the time has already progressed. For all the others, we still see on the line. Be rest assured, all your questions will be handled with. You have then to take only the IR team as answering partners. But I think we will be definitely capable to answer all the remaining questions also sufficiently. So the last question comes here from Gabriel from Citigroup.
Gabriel Adler: Gabriel Adler from Citi. My question is on EV competition in Europe. We're beginning to see very early signs of success for new Chinese EV brands in Europe and more specifically in the Norwegian market where the share of Chinese Buzz is growing very significantly. There's often a little focus on the challenge posed by Tesla to VW ramping up in Europe. I'd be really interested in hearing your thoughts on whether you can view the new Chinese EV start-ups that are beginning to export to Europe has credible competitors? And if so, how you plan to manage this increased competition?
Herbert Diess : Yes, for sure, we see the Chinese competitors, mostly the technology-oriented like Nio or Xpeng, we see as very serious competitors in the future. And yes, we watch out for their primary activity. We always knew that this game of EVs would be a new game where you start with a sheet of paper. Still, I think that we are able to compete with our worldwide volume basis, with our technology, with the quality of product with our brands. And I would say our success in this first round of EV competition is quite -- make us quite confident.  Now, it was -- in the beginning, it was quite unclear that EVs would basically work in all segments. Now EVs are working at Porsche where we have the Taycan already outselling the 911, EVs are working with Audi e-tron, [coupe] e-tron on the market, e-tron GT, one of the most iconic products already for Audi. They're working in volume for us with the platform Volkswagen, ŠKODA, and this means that we think we can be as fast as the new entries.  And you have -- you should keep in mind that it takes a lot of effort to become relevant in this automotive industry. This will be still a game about scale. You need 2%, 3%, 4% world market share to be really relevant and competitive, at least even if you are only premium. And if you look back in the success of Tesla, this is a success after probably 15 years and spending some 20 billion. So don't compare any other start-up to Tesla. They are just much more advanced. And many of the start-ups we see in the market, some will probably succeed, but they need a lot of energy and capital for succeeding in this industry.
Rolf Woller: Thank you. Thank you, Herbert. Thank you, Arno, for the comprehensive question-and-answer session. Thank you on the line, actually for listening to us. As stated, we are very happy actually to take all the additional questions at the IR team in Wolfsburg. And yes, we -- latest talk again on May 4 when we will report on our first quarter results. And until then, we hope you stay healthy and wish all the people in the Ukraine all the best for the weeks to come and conclude this session. Thank you.